Operator: Good morning, everyone. Thank you for holding and welcome to America’s Car Mart’s fourth quarter and full year 2012 conference call. The topic of this call will be the earnings and operating results for the company’s fiscal fourth quarter and full year 2012. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in numbers and access information are included in this morning’s press release, which can be found on America’s Car Mart's website at www.car-mart.com.
 As you all know, some of management’s comments may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s present view. These statements are made pursuant of -- to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimates, nor does it undertake any obligation to update such forward-looking statements.
 For more information regarding forward-looking information, please see item one of part one of the company’s annual report on Form 10-K for the fiscal year ended April 30, 2011, and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q.
 Participating on the call this morning are Hank Henderson, the company’s Chief Executive Officer and President; and Jeff Williams, Chief Financial Officer.
 And now I would like to turn the call over to the company’s Chief Executive Officer, Hank Henderson. 
William Henderson: Good morning, everyone, and we appreciate you joining us today. And we are very pleased with our results for both the year and this most recent quarter. For the year, revenues were $430 million, up from $379 million in our prior year. Net income was $33 million, up from $28 million. A solid increase in net income along with our stock repurchases resulted in a 27.6% increase in earnings per share at $3.24, up from $2.54 last year. The great year we’ve had is entirely attributable to a whole lot of hard work of our amazing associates, and they are all so very passionate about taking great care of our customers. It’s their dedication and the hard work that make us the great company that we are.
 I’m going to go ahead and turn it over to Jeff to go over some of the numbers in detail, and then I will come back and share a few thoughts with you. So, Jeff? 
Jeffrey Williams: Thank you, Hank. Once again, we are pleased with our financial performance for the quarter and for the year. For the quarter, our top line growth was 9.8% with a 5.5% increase in same-store revenues, and for the full year, the top line grew at 13.4% with a 7.5% increase in same-store revenues. Our comps for this quarter were up against a very good fourth quarter 2011 and we saw a 16% revenue increase.
 As Hank mentioned, we finished fiscal 2012 with over $430 million in revenues. Over the past 14 years, since Car-Mart became a public company, our compounded annual growth rate at the top line has been over 14%. As we’ve discussed for some time now, our plans for the future are to continue to grow the business at levels we’ve experienced in the past. Our down-payment percentage was 9.5% for the quarter, down slightly from 9.7% for the fourth quarter of last year. The weighted average down-payment amount for all contracts at the end of April was $646, up $22 or 3.5% from this time last year.
 Collections as a percentage of average finance receivables was 19.2% for the quarter compared to 19.6% last year. For the quarter, our average initial contract term was 26.8 months compared to 26.3 months. Our weighted average contract term for the entire portfolio, which includes modifications, was 28.1 months compared to 27.3 months this time last year. The increases in term are primarily related to increased average selling price and our efforts to keep our payments affordable for our customers.
 We’ve been very aggressive on keeping our term length shorter over the last several years to help our customers get their vehicles paid for sooner. Since 2005, our average term has only increased about 2 months or 8% compared to an average sales price increase during that same time period of around 35%. So even with the recent increases in term, on a relative basis our terms are still very short, but we’ve had to increase them somewhat in light of increased selling prices.
 The quality of the vehicles we are selling is high, and we feel that the term increases will prove to be beneficial to our customers and to their success. The average retail sales price increased to $9,784 or 2.8% from $9,520 for the prior year quarter. Sequentially we actually saw a $138 or 1.4% decrease in the average retail sales price, which was great to see in terms of affordability and another indication of the impressive work our purchasing agents are doing to help us control costs.
 Recent sales price increases have resulted from overall supply issues, and we do expect this condition to continue with gross margin percentages in the 42% range over the near term. We are finding plenty of good cars, but we are having to pay a little more, which is contributing to our gross profit percentage challenges. But it was certainly nice to see the sequential sales price decrease during the quarter.
 Our overall average retail units sold per month per lot for the quarter were down slightly to 28.9 compared to 29.4 for the fourth quarter of last year and up slightly for the full year to 28.6 from 28.4. Excluding the 17 new lots that we’ve opened in the last 2 fiscal years, our average overall productivity was over 30, and for the lots of over 10 years old, the average was 35. We believe that we have significant room for future volume increases from our existing store base, and the business model becomes even more attractive when factoring in future volume potential from new dealerships. We believe that we can continue to drive higher sales volumes at all of our dealerships.
 Interest income was up 15.9% for the quarter due to an increase in average finance receivables outstanding of $35.8 million and increase in the weighted average interest rate during the quarter to approximately 14.7% from 14.4% last year. The weighted average interest rate for all finance receivables at the end of April was 14.8% compared to 14.4% at the end of April last year.
 For the fourth quarter, our gross profit margin percentage was 41.7% of sales, down from 42.3% for the fourth quarter of last year and down from 42.2% sequentially. The lower gross margin percentage was due primarily to the effect of higher wholesale sales, lower margins on the payment protection plan and service contract products and slightly higher cost of sale expenses. As we look forward, we’ve renewed our efforts to reduce vehicle related costs, which will benefit the company and, more importantly, our customers by helping to keep our vehicles affordable. Our goal is to balance affordability for our customers with appropriate gross margin percentages to enhance customer success. Above all, we’ll remain focused on doing everything we can to keep our vehicles affordable for our customers, and expense management is key.
 For the quarter, SG&A as a percentage of sales decreased to 17.1% compared to 18% for the prior year quarter. This $700,000 increase in overall SG&A dollars related primarily to higher payroll costs and other incremental costs related to new lot openings. We had an average of 113 dealerships operating during the quarter compared to 105 for the fourth quarter of last year.
 For the year, leveraging at the SG&A line was 70 basis points. This is after a 30 basis point improvement for fiscal 2011 and a 20 basis point improvement for fiscal year 2010. The infrastructure investments that we’ve made are really paying off and are allowing us to pass on our efficiencies to our customers. We do expect some continuing leveraging in the future as we increase volumes and serve more customers.
 For the quarter, net charge-offs as a percentage of average finance receivables was 7.1%, up from 6.4% for the prior year quarter. For the year, net charge-offs was 24.8% compared to 24.1% for the prior year, or about $2.1 million higher on an average portfolio balance of $306 million. Again, principal collections as a percentage of average finance receivables for the quarter was 19.2%, down from 19.6% for the prior year quarter. Total principal dollars collected was up $5.7 million for the quarter, and the average principal dollars collected per account was up about 4.5% to $394 per month for the fourth quarter when compared to last year’s fourth quarter.
 Also, we did collect $1.6 million more in interest income during this quarter. The decrease in principal collected percentage between periods can be attributed to the increase in the average term, the fact that the portfolio was a little younger during the fourth quarter of this year and the average interest rate within the portfolio was higher when compared to this time last year. Additionally, we did modify a higher number of accounts this year and had more delinquent accounts on average as we worked with our customers experiencing delays with income tax refunds.
 We do consider the 2012 tax time collections effort to be a success, and we do expect to improve our processes and efficiencies during future tax refund periods. As you know, most of our customers receive income tax refunds, and our efforts to keep our payments low, our term short and to proactively work with our customers during tax refund time by scheduling payments based on this seasonal income will continue. We believe that the quality of the portfolio at the end of April is good in light of several successive years of good solid credit results, and the allowance for credit losses has been reduced to 21.5% from 22%. Credit losses as a percentage of sales was 19.1% for the quarter and 21.1% for the full year. That would be 20.6% and 21.5% excluding the effect of the reduction in the allowance. And these results are well within the range of 20% to 22% annually that we have been targeting for some time now.
 A couple of other items to note, once again our average down-payment is up 3.5% to $646 compared to this time last year. And while revenues for the year grew 13.4%, receivables only grew at a 12.2% rate, a fact that we consider to be a positive reflection on the quality of earnings for the year. We will always strive to do everything we can to help our customers succeed, and we’re generally pleased with the year from a credit standpoint and know that we can do better.
 Our 30-plus past-due accounts were 4.1%, up from 2.9% last year at this time. Once again, annualized credit losses in the 20% to 22% range are what we expect into the future. We will continue push for improvements in lot level execution within collections, and we will always strive to get better in this critical area.
 At the end of April, our total debt was $77.9 million, and we had over $47 million in additional availability under our revolving credit facilities. Our current debt-to-equity ratio was 42.2%, and our "debt to finance receivables" ratio was 24.6%. During the quarter, we repurchased 210,000 shares of common stock for $9.4 million. Since February 1 of 2010, we’ve repurchased 70.6 million in common stock, approximately 2.5 million shares or over 21% of the company. We’ve added 19 dealerships and grown our receivable base by approximately 55 million.
 We intend to repurchase shares in the future when conditions are favorable. Now I will turn it back over to Hank. 
William Henderson: Thanks, Jeff. We have continued to see solid growth for our existing stores, and we are also very pleased with the contributions we are seeing from our new stores. Overall they are performing very well, and we actually have a couple in particular that are certainly exceeding expectations and  are raising the bar for what we can expect from new stores.
 Throughout the year, we opened 8 new locations in Oklahoma, Kentucky and Missouri. We opened one store in each of those states. 2 new stores were added in Alabama and 3 in Mississippi. We are very pleased to announce that we will be opening our first new store for this current fiscal year within this next week as we will be opening in Madison, Tennessee. And in addition, we have another new location very near completion in St. Joe, Missouri, which we will be opening in June. So with the opening of -- we get St. Joe open, that will put us to 116 stores in 9 states and should keep us on pace for our new store openings.
 And to help us assure that we are staying on pace, we have added another full-time lot location specialist to our expansion department. He's based out of Alabama, as the majority of our new stores over the next few years will be to the east, as we are planning to add Georgia to the list of states we are in within this next year. In addition to the opening of new stores, our expansion group has done an excellent job keeping up with the growth of existing stores having expanded and remodeled several existing facilities this year, and we've even relocated a few into larger facilities to accommodate their continued growth.
 The capacity of the growth of all of our existing stores is a very key topic we had at our recent year end meeting that we held here in Bentonville just a couple of weeks ago. And that is one of the very exciting aspects of being a Car-Mart general manager. It's not only the new GMs that can look forward to significantly growing their stores, but those that have been around for many years continue to experience nice growth year to year in sales.
 Throughout this year, we have continued to execute effectively at the store level, and as just mentioned, experienced a very solid growth on our existing stores. And likewise, we continue to develop and improve our support systems within our corporate office to assure we are well equipped to handle the growth that lies ahead. As an example, this spring, with the help of some outside consultants, we invested about 6 weeks to take a really hard look at our IT department, and that’s with regard to every area, the staffing structure, technology, hardware, software development. And as a result, we have made a few changes to our staffing structure immediately. And most importantly, what came out of this is that we have identified where we need to be a few years from now and have mapped out a very detailed plan for how we’re going to get there.
 Overall, we made solid advances in each of our support system this year. And we understand the value of training, something that we have mentioned on many calls before and are committed to always working to improve on what we have, both with regard to our initial orientation, the basic training, as well as continued further development of our associates. There is no question that we’re now providing the best level of training in sales and collections specifically than ever before. This past year, we produced a very effective video library for our sales training, and we are in the process of doing the same in collections as well. We will certainly continue to hold our face-to-face training sessions in our training centers, but having these tools available does help us to provide our associates with more self-directed study and refreshers as needed on specific areas of training.
 We try our best to provide the very best support we can to meet immediate needs while also being continually mindful of what it is we need to be doing with each of these groups to assure that we are ready for where we’re going to be 5 years from now. We feel like we’ve done a good job in that regard this year, and we also feel like we’ve got a very clear game plan for what we need to accomplish in this year we’ve just begun.
 We’ve done well, but we still have many areas of opportunity where we know we need to improve, and we are putting forth the necessary effort to do so. A very common topic of discussion at every level in our company is the importance of the success of our customers. In virtually every discussion regarding purchasing, sales, collections, customer service, we talk about what we can do to help our customers succeed. Throughout the now over 30 years we’ve been in the business, we have learned how vital it is to our own future success for us to remain focused on the success of our customers, and we will forever continue to review our purchasing practices, pricing turns, service, and adjust accordingly wherever necessary for that purpose.
 So that concludes our prepared remarks, and we would like to now move on to any questions. So operator? 
Operator: [Operator Instructions] Our first question comes from John Hecht, Stephens. 
John Hecht: Just first on credit, the reduction of the allowance that took place this quarter, what factors drove that? How long of a backward period did you look into? And is this just sort of a one-time reset or, depending on other factors, is there further changes down the pipeline here? 
Jeffrey Williams: John, we look back at 5-year periods and then 3-year periods and even more recent periods on credit losses. So we are looking at the nature of the actual loss activity, and in addition to that, we’ve developed some really good information over the last few years on our static pools. And so the primary driver of the reserve reduction was just the fact that we’ve had 3 or 4, 5 years in a row of solid credit results, and then also when we look at the static pool analysis, the static pools we have outstanding at the end of April looked to be in good shape and are supportive of that reduction in the reserve amount. Of course, we look at that calculation of those pools every quarter, and we’d love to think that in the future the quality of the pools are going to improve and allow us to revisit that reserve percentage. But it’s been a long time since we’ve reduced the percentage, and that’s not anything that we’re counting on at this point. But certainly if credit metrics and results improve in the future, we’re always looking at that reserve percentage each quarter. 
John Hecht: And then with respect to the 30 days plus and the charge-offs that occurred during the quarter, is there any commentary since the end-- I know it’s only been a few weeks, but since the end of the quarter in terms of roll rates or the credit performance? It seemed that the slight pickup in charge-offs last quarter might have been related to the tax season. I wonder if you are seeing a normalization at this point. 
William Henderson: Yes, I think we are. I think that's an excellent question because we want to see how over a broader period of time, and, yes, I think we can say that we are certainly starting off this month with lower losses coming in as compared to where we were. So I think we did have a bit of the spike [indiscernible] but we’re back to normal. 
John Hecht: And then with respect to the buy trends, is there -- it seems like things have been pretty consistent at the lot level. But within that, is there any regions or vintage performance that is performing differently than you’d expect or worth commenting on? And then with respect to the expansion into, I think you mentioned Georgia, how many locations do you -- have you identified there, and is that model going to be consistent with in terms of the contracts with the other states you are in? 
William Henderson: Well, to start off with the first question with regard to the purchasing, as we go into the tax time, as you know, that’s when the demand is really higher for our range of vehicles. And so certainly prices tend to spike a little before that. I think this is often we see prices spike and they tend to stay there. As Jeff mentioned, we actually saw a slight decrease sequentially as we got into the fourth quarter. So that was really good. And it certainly is always our intention to keep those as flat as possible or even bring them down. And so we are putting forth lot of efforts to do that. As far as our actual performance on vintage, I don’t know if we can -- if you've got anything to speak to on that, Jeff? 
Jeffrey Williams: No. 
William Henderson: So as far as Georgia goes, we did -- and to accommodate our service contract and PPP, there was some changes within -- there are some legislation in Georgia in this past session, I think just 2 weeks ago it was actually signed into law by the governor. So we do know that we’re going to be able to offer those in that state, and we have, again looking, I would say Georgia is going to be very similar to Alabama and Arkansas in that there's many, many towns that fall within that ideal 20,000, 100,000 range. We haven’t yet scouted them all out. But we do feel like that Georgia will be a state where eventually we will have a very significant number of locations there. And so we have already began scouting out a few towns that are just across the river there from some of our stores in Alabama. So we think that’s going to be a great state for us. 
Operator: Our next question comes from John Rowan with Sidoti & Co. 
John Rowan: Has there been any release, if you will, on the upward pressure of the average age and mileage of the cars now that obviously your purchasing power got a little bit better? I am just more curious if that age and mileage continues to move up. 
Jeffrey Williams: Yes, it has. We are doing all we can to limit those movements, but to keep that price in a range that it can make sense for our customers and keep the transactions affordable. They are moving up a little bit. 
John Rowan: And what was -- Jeff, I know you mentioned you had some guidance on the provision expense, can you just repeat that for me? 
Jeffrey Williams: Well, yes, as we look out we target anything from a 20% to 22% provision for credit losses on an annual basis. There is some seasonality between quarters, but on an annual basis, 20% to 22%. This year was 21.5%, and -- which is well within that range, and we’ve got lot of new stores out there, and we feel like we can do better with the tax time next year and still feel like that 20% to 22% is what we need to target. 
John Rowan: And then, Hank, maybe just a broad top down view of the competitive environment. Obviously if some of the more traditional finance providers get back into the market, how does that impact you? I just want to -- maybe I should understand how you are looking at the 10,000-foot view of competition. 
William Henderson: Certainly on a -- as we look just market to market, the landscape really hasn’t changed a whole lot. There are still the mom and pops up and down the street from where we are. I have to assume that as the cost of cars over the past years, it’s gotten tougher, it’s certainly gotten tougher on them. They’ve had to push for higher down-payment requirements, and that has had to cut into their sales. As we’ve talked about before, too, credit tightening, we’ve never seen big change in dropdown. We don't feel like we were seeing significant increases in sales, but the reality, it's true, is we don't -- there is more aggressive financing available out there now than there was a couple of years ago. And it made sense to us, there’s got to be a few of the better customers that we are after that we may not be realizing. So we are really working hard to continue to step up our marketing. We made some changes for this upcoming year and really focusing on trying to attract and bring those better customers in to see us, but as far as to actually be able to measure it, it’s very difficult to say. But nonetheless, we know what’s going on, so there has to be some impact. And so we are, again, kind of stepping up our marketing to specifically address that. 
Operator: [Operator Instructions] Our next question comes from Daniel Furtado with Jefferies & Co. 
Martin Kemnec: This is actually Martin Kemnec in for Dan Furtado. Most of my questions have been answered. I just had a question on -- with your 10% target on new branch openings, maybe you could just refresh our memory on the dealership-level economics. Like what’s the typical investment for new units? What’s the kind of ramp to maturity there in terms of receivables, sales or even cash flows? 
Jeffrey Williams: Yes, a new lot, new dealership, we’re going to have $150,000 to $200,000 in CapEx, and then maybe $150,000 worth of vehicles on the lot to start out. And then most of our investment in the new dealership is going to come over the first 2 years of operations as we put deals out on the street. So we anticipate anywhere between $1.5 million and $2 million of cash invested in a new dealership over a 2 year period, counting fixed assets and inventory. And then at that point, our history has shown us that, that lot can become cash flow self-sufficient and actually grow at a pretty good clip at that point and still be cash flow self-sufficient after that 2-year point. From an earnings standpoint, there is very little cost, very little overhead for a new lot, and with the expectations we have for new lot openings from a GAAP perspective, our new lots are profitable just right out of the gate. 
Martin Kemnec: And the with the improvement in the SG&A line, is that kind of a deliberate effort to focus on cost controls or is that just some operating leverage flowing through the model? Just kind of looking at modeling that going forward, is that a level we should expect or how to think about that there? 
Jeffrey Williams: Well we are always looking at cost controls. So that’s always a focus here at Car-Mart. We’ve been very hesitant to try to quantify any leveraging in the future because we are growing at such a rate, and we want to make sure we don’t under invest in our infrastructure as we grow. But we do expect some leveraging just based on the fixed cost nature of what we do. But we are not quantifying that, and we want to leave ourselves some room to make sure we don’t under invest in infrastructure as we grow. 
Operator: [Operator Instructions] Our next question comes from Bill Armstrong with C.L. King & Associates. 
William Armstrong: When I look at your credit metrics both for the quarter and the year, your net charge-offs, collections, delinquencies, down-payment percentages, they seem to be heading in the wrong direction. And I am just wondering what are you seeing that at this point prompted you to lower your allowance to 21.5% from 22%. 
Jeffrey Williams: Yes, some of the metrics, Bill, as far as the collection numbers, all of that can be explained as far as the percentage through the average term being a little longer,  our average term is about 3 weeks longer than it was last year at this point, the average age of the portfolio is a little younger, and then the interest rate is higher. So when you factor all those out, we actually had a little bit of an increase in efficiencies on the collection side. So we felt good about that. We are really focused on affordability for our customers. So stretching that term out a little bit is something we felt like we had to do to keep those customers successful. Down-payment is just slightly down, so we weren’t disappointed with that. And then we did get through our first tax time period this year, where we’ve had a lot of these payments scheduled for a year more. So we wanted to get through this tax time collection period, see how that settled out, and then combine with our analysis of those static pools and the quality of those pools that are outstanding at the end of April, it certainly was supportive of that reduction in that credit loss percentage. Of course, it’s going to take 2.5 years for all those pools to run out, but based on the quality of those pools and the history we have, we certainly have a sufficient support and feel good about reducing that reserve down by that percentage. 
William Armstrong: Just one other question, how much is remaining in your share buyback authorization? 
Jeffrey Williams: I believe we have about 650,000 shares still available. 
William Armstrong: Shares or dollars? 
Jeffrey Williams: Shares. 
Operator: [Operator Instructions] I am not showing any other questions in the queue at this time. 
William Henderson: All right. Well, thank you all for joining us today, and we do look forward to updating you throughout the remainder of the year and bring you some more good news. So thank you. 
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the conference. You may now disconnect. Good day.